Operator: Good afternoon, everyone. And welcome to WM Technology, Inc. Fourth Quarter and full year 2024 earnings conference call. All participants will be in a listen-only mode for the duration of the call. I would now like to turn the call over to your host, Simon Yao, Director of Investor Relations. You may begin.
Simon Yao: Good afternoon, and thank you for joining us to discuss our fourth quarter and full year 2024 results. Today, we are joined by our CEO, Doug Francis, and our CFO, Stephen Eckert. By now, everyone should have access to our earnings announcement and supporting slide deck on our investor relations website. During this call, we will make forward-looking statements about our business outlook, strategies, and long-term goals. Keep in mind that forward-looking statements are not guarantees of future performance and are subject to a variety of risks and uncertainties, some of which are out of our control. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of risks and other important factors that could affect our actual results, please refer to our SEC filings available on our SEC website and our Investor Relations website. We specifically disclaim any intent or obligation to update these forward-looking statements, except as required by law. For the benefit of those who may be listening to the replay or archived webcast, this call was held on March 30, 2025. Since then, we may have made announcements related to the topics discussed, so please refer to the company's most recent press releases and SEC filings. We will also discuss non-GAAP financial measures alongside those prepared in accordance with GAAP. Non-GAAP financial measures should be considered in addition to, and not as a substitute for, the information prepared in accordance with GAAP. You can find a reconciliation of these measures to our GAAP results in our earnings presentation on our Investor Relations website. And finally, today's call is being webcasted from our Investor Relations website, and an audio replay will be available shortly. With that, I will now turn it over to Doug.
Doug Francis: Thanks, Simon, and hello to everyone joining us today. Before we get into our performance, I'd like to welcome our new Chief Technology Officer, Sarah Griffiths, who joined us at the beginning of the year. With her background in data, marketplaces, and highly regulated industries, she has hit the ground running and has already made a meaningful impact on our technology organization. We're glad to have her on the team. Now turning to our performance, I am pleased to share the results we've achieved in 2024. As we conclude the year with another quarter of sequential growth and profitability. For the fourth quarter, we delivered $47.7 million in revenue, $11.9 million in adjusted EBITDA, bringing our full year revenue to $184.5 million and adjusted EBITDA of $42.9 million. These results reflect the continued focus and discipline of our teams in driving profitability, even if headwinds persisted throughout the year. Pressures that weighed on both our clients and the broader industry. Our ability to navigate these challenges has allowed us to end the year with a strong debt-free balance sheet, closing with $52 million in cash. When I returned to the company in an operating role in 2022, we recognized that the licensed cannabis industry's path to recovery would be a turbulent one. Regulatory burdens, over-taxation, wholesale pricing pressures, and competition from both the illicit and now the hemp markets have created significant challenges. Given these realities, we knew the best way forward was to focus on what we could control: optimizing our operating structure, strengthening our core marketplace, continuing to support our clients where they operate, and securing wins where possible. Fast forward to today, the industry remains under serious pressure, with regulatory uncertainty at both the state and federal levels continuing to affect the overall industry health. At the state level, licensed markets are experiencing persistent pricing and regulatory pressures leading to consolidation across mature markets. Operators in our home state of California are now contending with the potential increase in excise taxes, while newer markets like New York and Florida face their own regulatory obstacles. New York continues to struggle with illicit competition while Florida's momentum has slowed following the failure to pass adult-use legislation in November. Despite these challenges, we remain hopeful that market dynamics will stabilize over the long term. The impact of these emerging states remains relatively small today, but we remain invested in developing and growing with these markets. At the federal level, early indications suggest that cannabis reform will not be a priority for the new administration. This is a reality we are and will continue to navigate carefully. While the industry challenges will persist, the operational improvements we have implemented over the last two years have positioned us well to invest and build for future growth as the landscape continues to evolve. As we enter 2025, we plan to prioritize investments in our technology and marketing organization to strengthen the foundation of the Weedmaps platform and unlock future opportunities. Our investment approach will remain disciplined while focusing on initiatives that drive long-term value and while maintaining the prudent cost management we have demonstrated in recent years. Building a strong marketplace foundation is critical to our future success and the effort will require collaboration across the entire company, not just within our technology team. By enhancing our marketplace, we aim to improve the experience for our users and clients today while positioning ourselves to capitalize on future industry developments. Beyond these foundational improvements, we are also executing on key initiatives to capture emerging market trends. These include expanding horizontally into the hemp, head shop, and homegrown seed markets, natural adjacencies to our existing marketplace that we believe will help drive greater user engagement. We anticipate launching these initiatives in the second half of the year. While these opportunities hold significant potential, they also come with inherent risk. For example, a federal loophole has allowed the hemp industry to flourish, attracting attention from many industry participants, including multistate operators. However, the regulatory uncertainty remains. As states are increasingly introducing their own legislation, it could alter the opportunity landscape overnight. Texas' recently proposed regulation being a prime example. As we navigate this evolving landscape, we must remain agile, both with our ability to pivot when needed and in our readiness to identify and invest in the right opportunities as they emerge. The adaptability and financial discipline we've developed over the past few years are core strengths that will continue to guide us through 2025. I am proud of our team's dedication and hard work in positioning us where we are today. The industry is still in its early stages, and we are confident that the strategic actions we take now will lay the foundation for long-term growth and expanded opportunities. But to be clear, without support from legislators and regulators around the globe, the cannabis industry will continue to struggle, and most operators will be forced to the hemp and black markets to survive. The rollout of cannabis has been an absolute failure by government bureaucrats, killing their chance at creating a thriving industry of opportunities and job creation for all walks of life. Legislation and regulation of cannabis should focus on ensuring safety and maximizing access, and otherwise, the government needs to get out of the way and let the free market work. Instead of doing this, time and time again, we see the people in government who do not understand cannabis and strangle our industry, acting in their own interest, but not in the best interest of the consumers or the industry. We need legislators and regulators to take a builder's mindset towards the industry instead of acting like a demolition team raising the structure that is barely more than a foundation. We will be happy to work with them. And until then, we must continue to fight for smart regulation, open and accessible markets, and the legalization of all plant medicine. With that, I will turn it over to Susan for a review of our financial results.
Susan Echard: Thanks, Doug. Revenues in the fourth quarter exceeded our guidance and increased sequentially to $47.7 million. Compared to the fourth quarter of the prior year, revenues increased 3% driven by growth from our deal listings and display ad products, partially offset by lower spend on our featured listings product and the impact on revenue from the products we sunset in Q4 of last year. Despite the financial challenges and budget constraints many of our clients continue to face, we are pleased with our sequential quarter and year-over-year growth in revenue. Q4 average monthly paying clients of 5,225 marked yet another consecutive quarterly increase and an increase of 4% versus the prior year period. The increase from the prior year period was due to new client acquisition and client reactivation, partially offset by churn. We remain focused on adding new accounts and minimizing churn across all of our markets. However, we recognize that ongoing industry pressures will continue to impact client profitability and drive further consolidation in the industry. The average monthly revenue per paying client in Q4 decreased 2% to $3,041 when compared to the prior year period due to the ongoing client marketing budgetary constraints and our client's limited capacity for upsell. While we've been encouraged by the recent relative stabilization of this metric, we expect this metric to fluctuate as we continue to see headwinds across our mature markets while we add new clients across developing markets that are typically onboarded at lower levels of spend. Turning to our expenses, our GAAP OpEx, which includes our cost of revenue, decreased 27% versus the prior year Q4 results. Primarily driven by the $16 million impairment charges we took last year related to the sunset of certain products, leases, and minority investments. Net income for the quarter came in at $3.7 million, which compares to a net loss of $11.2 million in Q4 of last year. Q4 2023 was impacted by the aforementioned impairment charge. Our Q4 adjusted EBITDA of $11.9 million represents a 25% adjusted EBITDA margin, which compared to adjusted EBITDA for Q4 2023 of $8.9 million or 19% and beat our guidance due to our better-than-expected revenues, as well as continued lower spending trends. Touching on our full-year results, revenue of $184.5 million decreased from $188 million in the prior year. The overall decrease from prior year revenue was due to the continued constraints in our clients' marketing budgets and the ongoing consolidation of our industry, specifically amongst our client base and the revenue loss from the sunset of certain products in December 2023. These declines were partially offset by favorable pricing changes relating to our Weedmaster for Business product enacted in Q4 of 2023. The average monthly paying clients for the full-year period declined to 5,077 from 5,419 in the prior year and is primarily due to the client count related to the aforementioned sunset products as well as the removal of paying clients from our platform who have become delinquent and the client churn due to continued industry challenges, such as price deflation and ongoing consolidation. Turning to our expenses, our GAAP OpEx, which includes our cost of revenue, decreased 22% versus fiscal year 2023 results, primarily driven by the $24.4 million impairment charges we took last year related to the sunset of our certain products, leases, and minority investments. Net income for the full year came in at $12.2 million, which compares to a net loss of $15.7 million in 2023 due to the aforementioned impairment charge and cost reduction across our operating expenses. Our 2024 adjusted EBITDA of $42.9 million represents a 23% adjusted EBITDA margin, increased $6 million over 2023, and is a reflection of the operational discipline we are able to enact during revenue headwinds to manage our continued profitability. We ended 2024 with a very strong balance sheet position. We generated $17.6 million in cash for the full year, closing the year with a cash balance of $52 million. Free cash flow in 2024 was boosted by a focus on accounts receivable and collections. Our 2023 year-end gross receivables of approximately $20 million had significant past due accounts, and we were successful with collecting the majority of them, which yielded a higher-than-normal cash influx that is not expected to be repeated. We continue to work with our customers in keeping our collections in line, and that partnership has continued to lower churn. Our cash balance and debt-free position provide us with the flexibility to explore a variety of strategic growth initiatives as we execute against opportunities to maximize shareholder value, invest in our platform and infrastructure, continue to lay the foundation in our emerging markets, and provide the business with liquidity in the event of unexpected industry challenges. Our share count across our Class A and B common stock was approximately 153 million as of December 31, 2024. A reconciliation of non-GAAP metrics to their nearest GAAP results, as well as the details of our share classes and share count calculation, are provided in our earnings presentation posted on our Investor Relations website. Now turning to our financial outlook. The company is strategically investing in key technology and marketing. As a result, we expect Q1 revenues to be approximately $44 million, which is consistent with our prior year results, and Q1 non-GAAP adjusted EBITDA to be approximately $7 million. While we are very pleased with the progress we made in 2024, the challenges we face as we enter 2025 remain and will require strategic investments to support our long-term growth and health. To that end, we are prioritizing key technology and marketing initiatives to further strengthen our platform. As a result, we expect Q1 revenues to be approximately $43 million and Q1 non-GAAP adjusted EBITDA to be approximately $7 million. With that, I'll now turn the call back over to the operator to conclude our call.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.